Operator: (Operator Instructions) Welcome to Pall Corporation’s Conference Call and Webcast for Third Quarter Fiscal 2008. We’d like to remind you that the Company’s third quarter press release is available on Pall’s website at www.Pall.com. Management’s remarks this morning will include forward looking statements. Please refer to slide two or request a copy of the specific wording of this qualification for the company’s remarks. Management also uses certain non-GAAP measures to assess the company’s performance. Reconciliations of these measures to the GAAP counterparts are included in the slides at the end of the presentation. At this time I will turn the call over to Mr. Eric Krasnoff, Pall Corporation’s Chairman and CEO.
Eric Krasnoff: With me here this morning is Lisa McDermott our Chief Financial Officer. We’re delighted to report on another strong quarter of sales and earnings growth. Lisa will provide a review of the quarter and financial results at the three quarter mark in a moment. Before she does I want to provide an update on some of the factors supporting our growth. There could not be a better time to be a global leader in the filtration industry and to be standing on a well spring of technology, global talent and experience. Industries requirements for filtration separation and purification technologies are ubiquitous and escalating making this a market of enormous proportions. Advanced products and processes are inherently more contamination sensitive and typically require more advanced filtration and more filtration steps. On top of the manufacturing output by developed nations, emerging economies are investing heavily to provide high quality products and services for their own rising middle class and export into world markets. Environmentalism is becoming a significant business driver and manufacturers whether due to conscience, regulation or economic pressures are beginning to step up their investment to protect it. Water quality and availability are diminishing, regulation and water shortages are driving municipalities to invest in membrane solutions such as ours. In an industry where it is the most common raw material, the cost of water is a real impetus for conservation and reuse programs. Water applications across the country and across the company are increasing and represent a tremendous opportunity for growth. Even high energy prices drive our growth as manufacturers look to reduce consumption. Energy producers strive to increase yields and alternatives sources of supply become more critical and economically viable. Finally, filtration is often the last line of defense against emerging and infectious diseases. Pall is uniquely positioned within our industry to capitalize on all of these market drivers. Our market applications, product and geographic diversity is among the company’s greatest assets and a potent competitive advantage. Pall Corporation sells solutions; we help customers to increase product quality and yields. Our technologies reduce maintenance time and expenses and help ensure equipment and processes run reliably. They save energy, reduce emissions and waste, and serve valuable diminishing resources and require less space to operate. In short, Pall technologies make money for our customers. The over arching strategy is to provide complete solutions to customers toughest fluid management challenges through total fluid management. It’s helping us to create both our market and wild shares are we expand our technical capabilities. Another part of our strategy includes the focus on high growth regions. In line with that we recently announced that we’re investing heavily in Latin America to see this geography is an important contributor for our growth. We are also in relentless pursuit of process improvements throughout the organization and on strengthening our overall financial performance to continuously improve the bottom line, cash generation and shareholder value. These strategies, the collective efforts of our organization have been paying off with steadily increased sales and earnings. We still have a long way to go but success is the best motivator and we are energized, inspired and driven to continue to build on this great business. With that as introduction let me introduce Lisa McDermott to provide the financial report.
Lisa McDermott: I will provide a brief review of the quarter and our expectations for the full year. Net earnings in the quarter were $63.3 million or $0.51 per share compared to $50.4 million as restated or $0.40 per share last year. Earnings per share on a pro-forma basis defined as excluding items principally related to the company’s cost reduction initiatives in both periods and costs related to a tax inquiry in this years third quarter for $0.54 per share compared to $0.45 per share a year ago. Net earnings in the nine months were $147.4 million or $1.19 per share compared to $110.7 million as restated or $0.89 per share last year. Earnings per share on a pro-forma basis were $1.36 compared to $1.02 a year ago. Taking all of this on board we expect earnings per share excluding restructuring and other charges to be at or above the high end of the range previously reported of $1.82 to $1.92 for the full fiscal year 2008. This excludes restructuring and other non-recurring charges recorded in the nine months that equated to $0.17 per share and such charges in the fourth quarter that may be from $0.02 to $0.04 per share. Turning now to the details of our income statements which are on slides 11 and 12. I’ll start with sales growth. Sales in the quarter increased a little over 18% on an as reported basis and at the nine months are up a little over 15%. With the lions share of our revenues derived outside the United States we are well positioned to benefit from the weak dollar. In fact, foreign currency translation against the weak dollar has added approximately $50 million or 8.5% to our top line in the quarter equating to approximately $0.04 in earnings per share. For the nine months foreign currency translation added approximately 7% to our top line equating to approximately $113 million and approximately $0.08 in earnings per share. Turning now to sales by geography, all geographies contributed to the sales growth in the quarter with Europe turning in stellar performance particularly in bio-pharmaceuticals, food and beverage, energy and water. At the nine month mark Asia still leads the pack at 12% growth with continued investment in emerging markets a key factor driving sales. System sales grew almost 66% in the quarter and just over 44% in the nine months reflecting the success of our total fluid management strategy. For the full year we expect system sales to increase approximately 24% and to represent approximately 12% of total sales. At the onset of the fiscal year our expectation was for local currencies sales growth to be in the range of 5.5% to 6.5% with industrial slightly outpacing life sciences. At the nine month mark we’re ahead of this revenue guidance but we are maintaining our guidance for the full year. We are expecting low growth in the fourth quarter due largely to tough comparables in general industrial particularly in systems which had a very strong fourth quarter last year and the bio-medical market. Backlog and incoming orders remain strong. Turning now to gross margins which are on slide 13, despite a 66% increase in system sales, with the increase in systems in both industrial and bio-pharmaceuticals and broad inflationary pressures, gross margin approached 49% in the quarter compared with 49.5% last year. These pressures were partially offset through improved pricing that contributed 50 basis points to gross margin, 2% in the quarter in life sciences and 1% in industrial as well as our various manufacturing cost reduction and efficiency initiatives particularly in Pall Industrial. Gross margins at the nine month mark stand at 47.2%, this is on par with last year and we expect gross margins to be up in the fourth quarter over the fourth quarter of last year and to be about 47.5% for the year. This will be on par or slightly better than last year. We are committed to sustainable gross margin expansion by continued focus on pricing increases, systems gross margin expansion and our continuous improvement activities. SG&A as a percentage of sales reduced 50 basis points to 29.5% from 30% in last years third quarter. Increased investment in areas including sales and marketing, and corporate functions is showing through with a 9% increase in the quarter excluding the impact of foreign exchange of about $13 million. For the nine months SG&A excluding the estimated impact of foreign exchange increased about 4%. As a percentage of sales SG&A expenses in the nine months decreased 130 basis points to 29.5%. For the full year 2008 we expect SG&A expenses as a percentage of sales to be about 29% an improvement of approximately 100 basis points over fiscal year 2007. Our cost reduction initiative such as Ameri Pall and others continue to benefit SG&A and are helping fund the investments I mentioned a moment ago. These improvements are sustainable and will be augmented by several new programs that provide further opportunity to reduce SG&A as a percentage of sales over the next couple of years. Turning now to liquidity and working capital, operating cash flow for the quarter was just above $90 million a better than 40% improvement over last year’s third quarter result of $65 million. Largely contributing to this improvement was the seven day reduction in day sales outstanding compared to this years second quarter. Inventory turns of 2.6 are on par with last year and with the second quarter. We expect operating cash flow generation to continue to show improvement in the fourth quarter with the year in the range of $155 to $165 million. Capital expenditures were approximately $76 million in the first nine months of fiscal year 2008 up about $22 million from the same period last year as we proceed with the consolidation and rationalization of our facilities we now expect CapEx to be around $130 million for the full year. Depreciation and amortization for the nine months was approximately $69 million and is expected to be about $95 million on par with last year. Earnings before interest, taxes, depreciation and amortization excluding restructuring and other charges was $343 million for the nine months up about 17% year over year. Turning to cash returned to our shareholders we repurchased $78 million of stock in the nine months and approximately $110 million year to date leaving $230 million remaining of our authorization. We also paid dividends of approximately $44 million up about 6% from a year ago reflecting the $0.01 per share increase last January. We also recently announced another dividend increase taking the dividend to $0.13 per share per quarter. This represents a 44% increase since 2004. In closing, as we approach the finish line of 2008 we are pleased with the progress we are making on our portfolio of current initiatives. We’re excited and confident in Pall’s prospects and opportunities and hope you share our enthusiasm. I’d like to thank you for your attention this morning and with that I will hand this back to Eric.
Eric Krasnoff: To sum up fiscal 2008 to date has seen steady operational and market progress and our strategy is to increase top and bottom line and drive cash flow have taken hold. Looking at a longer term view we’ve made considerable progress towards the goals laid out in our 2004 through 2009 five year strategic plan that we presented to you before. Thus far we have achieved every measure but one. That one, our gross margin goal remains challenging in light of the overwhelming success of our systems platform but we remain committed to measurable improvement. We are developing a new five year plan that takes us out to the end of fiscal 2013 and we look forward to laying that plan out to you and the new goals for Pall Corporation at an investor conference on October 29 in New York City. We’ll send more details as we get closer. With that and with the help of our conference operator we are welcoming your questions.
Operator: (Operator Instructions) Your first question comes from Jeff Zekauskas – JP Morgan.
Jeff Zekauskas: Can you talk about your outlook for your aerospace business both on the commercial and the military side in the light of such high fuel costs?
Eric Krasnoff: It’s really a double edged sword as far as fuel costs. On the one hand we see some carriers reducing their fleets or retiring older aircraft. On the other hand we see the drive for the newer more fuel efficient planes is continuing. Talking with our key OEM such as Boeing we see that their expectation for production has not really been impacted over the last few months with the higher fuel costs. On the military side we don’t see an impact at all.
Jeff Zekauskas: In your opinion you expect to see continued strong progress in aerospace over the next 12 months?
Eric Krasnoff: We certainly do, yes.
Lisa McDermott: We would expect to see aerospace be in the mid single digit or high single digit growth.
Operator: Your next question comes from Dan Leonard – First Analysis.
Dan Leonard: My one question is on gross margin. Eric you offered up a target of 49% to 50% gross margin for fiscal year 2009 originally. Given all the moving pieces, all the inflationary pressures, systems mix and foreign currency do you think that target is still achievable?
Eric Krasnoff: No, I think I said that in the last couple of sentences that we think we’re still going to see progress but we’ll be a little bit short of that target in ’09. It’s specifically related to the overwhelming success of the systems business. Systems is now 12% of Pall Corporation and we did not envision that five years ago.
Dan Leonard: Do you expect the Systems mix to continue to grow or do you think it will remain flat about 12%.
Eric Krasnoff: We think it will be steady and perhaps even come down a couple of percent over the next few years.
Lisa McDermott: Although we do believe we will hit the operating margin, the target will be in the range of the 15.5% to 17%.
Operator: Your next question comes from David Chung – Lehman Brothers.
David Chung: I had a question about pricing, you made comments that you had pricing benefit in both life sciences and in the industrial segments. Could you talk a little bit more about some of your broader pricing initiatives and how that might be affecting your operating margins moving forward?
Eric Krasnoff: We’ve been working over the last few months to select a consultant to partner with us on a global pricing initiative that would cut across all of our markets and basically its going to be a reexamination and rethink of how we engage the customers with value proposition particularly because the nature of our business is changed so much with total fluid management systems. We expect that to be a good contributor, we will provide in October when we do our analyst day specific guidance as to how we feel that’s going to play into the numbers. We do see a very good opportunity to improve our level of pricing that we’re attaining. We think it’s critical particularly as we move into more inflationary times that we do so.
David Chung: In terms of system sales do you see that as opportunity for higher price increases?
Eric Krasnoff: We certainly see an explosive increase in the margins of the system business over the last two years. I think as more systems prove themselves then we become better and better at providing them and the services attached to them that we have both better revenue generating opportunities as well as pricing opportunities there.
Operator: Your next question comes from Richard Eastman – Robert Baird.
Richard Eastman: Let’s stay on the system business for a second. A couple things, what was the consolidated growth in orders in systems in the third quarter? You give a lot of really good detail in the Q but trying to consolidate it, it’s up like 20%, systems?
Eric Krasnoff: We’re going to pull out that number; did you have another question while we’re looking for it?
Richard Eastman: Along those lines you had mentioned that the gross margin in systems in Q3 can you give us a sense of where that came in and also where the gross margin is coming in on the newer booked systems?
Lisa McDermott: We’re just going back to your first question, our apologies. System orders were about flat slightly down in the quarter. That’s somewhat reflected in the comments that I made about what we expect to see for the fourth quarter.
Richard Eastman: In the bio-pharm they must have been down? Some of the commentary in the Q in the separate pieces food and beverage, energy they were up pretty strongly.
Lisa McDermott: In bio-pharm system orders were slightly down, yes.
Richard Eastman: Have you made progress on the gross margin there in terms of what you shipped in this quarter and what you’re booking?
Lisa McDermott: In terms of overall gross margins on systems? Yes we have made progress particularly on newer system orders so that we’re seeing, as Eric mentioned a moment ago, really good improvement in systems gross margin.
Richard Eastman: Let me ask the question this way, the orders that came in, in Q3 would not necessarily ship but came in are those coming in with a big gross margin around 30% are we that high?
Eric Krasnoff: No, we’re not at 30%. If you look at the overall aggregate of the orders coming in the margins are higher than they were a year ago. We can’t really look at systems on a quarter by quarter basis and you also have to remember if we say we’re getting a bunch of water jobs and they will not ship for 18 to 24 months. Orders in is not necessarily a good indicator of where the margins are going. For our work we actually calculate on a monthly basis the aggregate of all jobs and when they might ship and do margin calculations. We believe it’s much more predictable for us at this point and build that into the guidance that we provide.
Operator: Your next question comes from Jonathan Groberg – Merrill Lynch.
Jonathan Groberg: Can you dive into a little bit, there’s a lot of different news coming out of the more bio-pharmaceutical side of your business and if you can just remind us, I know you had a comment in your Q that actually the consumable side of bio-tech in the Western Hemisphere was down high single digits. Can you remind me again what percentage of your sales is bio-tech and then what’s offsetting that growth? I know you mentioned things like vaccines and others but the common wisdom is that some of the classic pharma, the other markets are slower growth businesses but you don’t seem to be seeing that maybe you can just describe what’s driving that growth on that side of the business?
Eric Krasnoff: Bio-tech at this point is we believe about a third of our pharmaceutical segment. It’s hard to get an exact number because the same customers can sometimes take a similar Pall product and divert it into either one. Bio-pharmaceutical orders in the quarter in the Western Hemisphere were actually up 8%, they were not down. Where we have been impacted in the Western Hemisphere along with others is the reduction in the ESO type drugs, the Erythropoietin stimulating agents, that’s hurt us a bit. We’ve really overcome it particularly in areas like Europe with vaccines, the plasma industry and both in Europe, Asia and the United States a good and growing strength in the basic traditional pharmaceutical side of the business, we’re picking up market share there. Finally total fluid management, that’s systems are becoming more accepted in the bio-technology area. The FDA is pushing more process automation and control and that fits right into the way we market our product to the customers.
Jonathan Groberg: By look at your Q here you mention that system sales in the bio-technology sector in the Western Hemisphere were up, it just says high single digit decrease in consumable sales in Western Hemisphere on that. Are these new plants or are people retrofitting older plants to get better efficiencies, I’m trying to understand what’s on the Western Hemisphere side, what’s going on. I think I understand the shift to emerging markets.
Eric Krasnoff: Most of the big systems movements are in new plants and they’re new bio-tech plants or building out say of a second process modular factory which is the more current way of building bio-tech manufacturing facilities.
Jonathan Groberg: Would you still expect on those as the systems go in to capture significant percentage of consumables or what do you think?
Eric Krasnoff: We more than expect it now, we have a track record for it and more and more as we design our systems and provide the benefits of the unique Pall materials within those systems the customer is buying into both, they’re not just buying into a piece of steel and some outsource valves or process controls, they’re buying into the Pall capability for production.
Jonathan Groberg: A follow up to this is your R&D line, can you give a sense as to, do you think you’re spending about the right amount in R&D or are these membranes are there changes in the membranes that you think you may need to spend more in R&D going forward in all of the different segments?
Eric Krasnoff: R&D is increasing but the R&D number total for Pall is misleading. We do a lot more R&D as percentage of sales in life science and in some of the other segments. Micro electronics is also a much higher one. Our number is overall even in those segments are a bit lower than competition because we get tremendous leverage for the basic material science across all the businesses.
Jonathan Groberg: You feel comfortable as a percentage of sales?
Eric Krasnoff: I have to say that we have not walked away from funding any promising R&D projects. If the payback is proven then we’re funding the project.
Operator: At this time there are no further questions. I will turn the call back over to Mr. Krasnoff.
Eric Krasnoff: I’d like to thank all of you for your time and attention this morning. We look forward to reporting our fourth quarter results which are also our full year results on September 15. Thank you very much.
Operator: This concludes today’s conference call. You may now disconnect.